Artur Wiza: Good afternoon, ladies and gentlemen, at this conference where we will discuss Asseco's results for the 9 months of 2025. As always, we will present the activity of the group, and we will tell you more about the finances. In the end, we will make sure that all the questions are answered. So in the meantime, feel free to send questions to us. Again, we would like to welcome Rzonca-Bajorek, CFO; and Marek Panek who is in charge of group's development. Now Marek, I'm sure, will begin with the introduction. He's smiling. So probably he has some good news to share. So Marek, over to you. Tell us how we've been doing in the last 3 quarters.
Marek Panek: Good afternoon, ladies and gentlemen. Well, it should have been my show, but still, yes, we have some positive news. We are summing up a very positive -- another subsequent positive period in Asseco's activity. So now I will tell you more what were the highlights in the first 3 quarters. Let me start by summing up. You see here some key figures that I would like to communicate. First, results. As you can see, we've observed a very dynamic growth amounting to 11% compared to last year, amounting to PLN 12.3 billion. Our profit -- operating profit was growing even faster, the non-IFRS 1, up by 18% to PLN 1.4 billion. And non-IFRS net profit went up by 29% to as much as PLN 516 million. Now the profitability also improved. The non-IFRS 1 is close to 12%. So taking all this into account, we have reasons to be happy. And indeed, the first 3 quarters, we believe we're very satisfying. These results are driven by the fact that we've consistently been pursuing our strategy, the strategy that was kind of 30 years ago is based on our own products, our own software and on diversification in terms of sectors and geographies where we operate. We are getting stronger in our core areas, finance, public administration and ERP. At the same time, we've seen some promising areas looming, we've been talking about them many times, cloud, cybersecurity, defence and recently AI. In all these areas, we are more or less advanced. We take a close look at the market, and we want to make sure that we are present in all of them. And this is kind of an untypical slide because I'd like to mention one such event, which is we signed at Formula Systems, the agreement for the sales of a majority stake in Sapiens International. So this contributes to our results even though this transaction has not been consumed yet. So in August this year, an agreement was signed to sell the stake in Sapiens by Formula. With that, they will retain 18%. As a result, we are losing control over Sapiens. And that was reflected in financial results. Sapiens as a result was excluded from consolidated revenues and costs as well as income tax. So the data are no longer part of the consolidated revenues. It is now classified as discontinued operations. The net result of Sapiens is included in the profit and loss statement under net profit from discounted operations. The transaction is expected to be finalized in the end of Q4 or beginning of Q1 next year. And we already announced that previously that it will have a significant positive impact on the result of the whole group. We will tell you more about this at the next conference. Now coming back to the traditional part of my presentation, I will start with a short summary of activities in individual geographies and segments. I suggest that we focus on the graph that you can see now on the right-hand side. It's the sales revenues broken down by segments. Starting from the upper part, it's Asseco Poland. This segment was marked by the highest growth of as much as 14% period-to-period, followed by Asseco International, plus 12%. Here, we are close to the amount of PLN 3.3 billion. And the largest part is Formula Systems that observed 11% growth and achieved PLN 7.3 billion. Remember that Sapiens is excluded. So in a nutshell, I would say the following, no big highlights for the Polish segment. We look at the public one. We have a strong position there, and it grew very dynamically. Also, we would like to stress that we have a strong position in the finance segment. It's mainly banks in Poland. For Asseco International, I'd like to point out ERP solutions and solutions dedicated to banking, especially Eastern Europe, Central Eastern Europe. And then Formula Systems segment. Here, I'd like to mention record revenues of Matrix IT and some satisfactory growth of this new part, which is Michpal Group. Here, you can see the revenues broken down by product groups. Again, please focus on the graph on the right hand. Let's start from the upper part, plus 8%. It's solutions for finance. And really, it's one of the largest segments with respect to software in our group. The finance one brought us as much as 23% and the largest software based is the public administration segment. It grew at the most dynamic pace. Exactly, it was plus 16%. So we are very close to the amount of PLN 3 billion. And it's about 25% of the revenue of the whole group solutions for banking institutions. Now ERP solutions, here, we observed an almost 10% rate of growth. And looking at the remaining less software-based IT solutions, it's categorized as other IT solutions. It's plus 12%. I will then remind you what it includes and infrastructure and third-party solutions. It still generates a considerable part of our revenues, but it contributes to less -- to lower margin rates. Still, we were able to generate 10% of growth here. I'd like to underline once again our diversification. The share of the 10 top customers in our case, is 12% and 2.5% is the share of the largest customer in the group's revenues. Moving on, let's have a look now at those individual solution groups in detail. I will start with the finance one. As you can see, we have almost PLN 2.8 billion in terms of the revenues. plus 8%. That's the change. And the greatest contributor is no longer formula systems as it used to be the case. Probably now Sapiens is excluded. So right now, #1 is Asseco International. There, we have almost PLN 1.2 billion revenues and a 6% growth rate. Just to remind you, it involves Asseco Eastern Central Europe solutions for banks and payment solutions. Additionally, it's Asseco Central Europe and Asseco PST. That is the activity in Portuguese-speaking countries. In all those segments, we observed growth. So 6% is the growth of the revenues. Formula Systems takes the second place in terms of the contribution. PLN 1.1 billion is the worth of the sale, 11% growth. And excluding Sapiens, this is now Matrix. That's the main player. They have a lot of banking projects in Israel and Magic Software. Now Asseco Poland that makes us very proud for many years because we believe that our business of banks in Poland is very mature and very sound. It's a great stream of recurring revenues for the company. So here, we almost have PLN 500 million in revenues and the growth rate is 10%. Please be aware that we not only serve banks, but also brokers, houses and leasing companies. So all of that together generates almost PLN 500 million. Now solutions for public institutions. As I said before, that part grew at the most dynamic pace. So we have 16% worth of growth. We are close to PLN 3 billion in revenues. The greatest contributor here is Formula Systems. Again, Matrix IT is the main player. It's the largest IT company in Israel. And at the same time, they have a large share in the supply of solutions to the public sector. Many Israeli public institutions utilize Matrix solutions. Matrix is followed by Asseco Poland in terms of the size, PLN 900 million revenues, again, a very dynamic growth, 21%. In Poland, as you know, we cooperate with many big public institutions. I'm not going to quote them. I'm sure you know what I mean. We also have solutions for local governments, smaller clients and for the health care sector, where we are an important entity offering solutions. That dynamic growth makes us very happy, obviously. And finally, Asseco International. Here, we welcome an almost 30% growth of revenues, mainly driven by Asseco Central Europe. We were able to restore our position. That makes us very happy. You may recall some fluctuations in Czechia and in Slovakia. Some projects were put on hold in the public sector due to the geopolitical situation. Now we are happy to see a return to these projects. Also, I'd like to mention Asseco Southeastern Europe. It is coping very well in -- in this area as well as Asseco Lietuva, our Lithuanian company. Now ERP solutions. Here, we have a lot of revenues. You can see that on the screen and the revenue CAGR plus 8.6%. Asseco International here is the most important one. Remember, we consolidate here Asseco Enterprise Solutions. That operates mainly in the ERP sector. And it's observed 4% growth and generated revenues over PLN 700 million. Number two is Formula Systems segment with 14% of growth. We are close to PLN 450 million. This is mainly the contribution of Michpal. It's a new group, HR and payroll, that's their core activity. And we treat these solutions as part of ERP. Hence, that revenue is classified as this segment. Also Matrix should be emphasized here, a company that also has ERP -- a proprietary ERP system and some third-party companies and Asseco Poland here, it's only PLN 50 million. So you might think it's quite negligible. But still, it makes us very happy because they have a good growth rate of 22%. It's mainly DahliaMatic. And by the way, DahliaMatic in September was moved to Asseco Enterprise Solutions Group so that all ERP solutions are offered as a one-stop shop. And now this will be moved out to a different table. And now Other IT solutions, let me remind you what this is made up of. So first, these are the solutions that do not -- are not classified in the others. So this is our trusted services and our software related to trusted services produced by Asseco Data Systems. And this is also about resources outsourcing. This mainly comprises Magic Software in the U.S. and Israel and also platforms for software development that are supplied by Magic and dedicated solutions for different types of companies supplied by Matrix. So other solutions offered by our company over PLN 2.2 billion and a 12% growth for the whole group. Let me also mention that it also covers our ITC solutions for Poland. So this is a project for the Cyfrowy Polsat Group. In Poland, it's over PLN 150 million revenue, and this group of solutions accounts for an 8% drop in this case in Poland, but don't worry about it. This is because of some seasonal aspect of this project carried out by Cyfrowy Polsat. Now acquisitions. We are continuing the activity here and 9 new companies have joined us. So 2, both in Poland, 1 in Slovakia, 1 in Czechia, 3 in the Israeli market, 1 in Spain, 1 in Egypt. And we will continue acquiring companies. And in Q4, there will be some new companies joining us in the group. And as you know, this is part of our growth strategy, and we take it very seriously. So much from me. Now over to Karolina. Thank you.
Karolina Rzonca-Bajorek: I will discuss the P&L. Marek has mentioned the revenues, and I would like to add a few points because revenue on software and on proprietary services is growing at a fast rate. And I will also discuss the backlog at the end of the presentation. EBITDA over PLN 1.8 billion and CAGR 8% and EBIT 1.4 plus 7% and the net profit is PLN 516 million, and this amounts to 8% of the CAGR. Now period-to-period. We can see that there is a negative effect of the currency rate. It's the negative effect is PLN 135 million. And if you have a look at the growth rate, it's around 2 point difference between the currency rates and now the organic revenue has been growing by over PLN 1 billion and the acquisition at PLN 355 million. As a result, we have the result of PLN 12.255 billion, the revenue. And then let me also mention what Marek has been discussing that this does not include Sapiens, which is recognized in a different place. Now Non-IFRS operating profit, PLN 16 million negative. This is the foreign exchange rate. We have the topic of real property sale, which was positive. This year, it's negative. And this is non-IFRS. Let me remind you -- so some one-offs have been already cleared. They were included in the results of this quarter. PLN 215 million. This is the of organic results and PLN 33 million. This is the effect of the acquisitions. Now the net profit one-offs, PLN 11 million. This is the real property sale and PLN 128 million. This is the organic result of our companies. Now let's break it down into different segments, non-IFRS net results. For some time, the trend has been quite steady. So Asseco Poland has been the largest contributor here and PLN 4 million Asseco is Formula Systems and PLN 26 million is accounted -- is contributed by Asseco International. And if you have a look at the revenues and operating profit, we have already mentioned that the growth rate amounts to 11% total services, proprietary services, 12%. And you can see the dynamics on the right, excluding the FX rate effect, and this is the change, 13% if you freeze the currency rate exchanges. 3 quarters, there is 15% and 15.1%. And now Q3 to Q3, there's a drop in profitability, but I wouldn't worry about it because this is the effect of the adjustment because of the activity in India and the acquisition that was taken away from the results of this year. And without this acquisition, profitability wouldn't be lower. And if you look at it segment by segment, you will see in a moment that there are segments where the profitability is improving. Now the revenue from operating profit, 18%. This is the growth rate. It would be 19% if it weren't for the FX rate. So profitability Q3 to 3 quarters to 3 quarters improves, and there is a significant effect of one-offs because of the M&As. And as a consequence, the growth rate is a bit lower. It's 16% after the 3 quarters. And interest results are quite similar and foreign currency transactions have a bit lower effect. There's a hyperinflation and other adjustments. We have received many questions about the effective tax rate. And as you can see, period-to-period, it goes down by 0.8 percent points. And there is also a significant impact of Asseco Poland. This is a positive tax effect and it's largely due to a one-off. This is because the whole loan time, we couldn't recognize the interest of the loan taken to buy our own shares. And there was no revenue there where we could match the cost and use it effectively in the tax declaration. But once the transaction took place and we knew that we would be selling our own shares, this option appeared -- and we could use this tax loss in this item. And this is the most important effect here in this quarter. And we've been filing requests with the tax office for interpretation to settle the taxes in the most logical way possible. And we have also obtained a positive interpretation from the tax office, which is actually contradictory to another one we received a few years ago. So we have already made some adjustments to the tax settlements for the previous years, and we will continue to make adjustments, but this takes time. Hence, the impact on the effective tax rate. Now in Q3 last year, there was a positive effect because some overstating of the TSG investment at the level of Formula Systems. It was a one-off -- there is no such effect now. That's why this time, it's smaller than what we've been used to because of the one-off last year, which was quite important. Net profit attributable to shareholders, it's PLN 453 million. You can see that the dynamic here is larger because the largest dynamics is always where we are consolidating the highest percent, which is effectively in Poland, Asseco International and lastly Formula. And this is precisely what I've been talking about. Have a look at the parent company, Asseco Poland, you can see the growth rate of the revenue and the operating profit. Here, we can see a huge improvement period-to-period, PLN 272 million compared to PLN 201 million period-to-period. So we are very proud of our parent company and its results. Now Asseco Data Systems has improved significantly as well. So if you have a look at operating profit, it's PLN 442 million. And now other companies that are recognized together in a single line. There were companies that were struggling last year like DahliaMatic. And this year, they have recovered their position and the result is positive. Therefore, this line has improved significantly. Now Formula Systems. So another record quarter for Matrix IT. We've been telling you this every quarter, but this is actually the case that every quarter, they've been improving their results, and we are very happy with the dynamics because profitability is also being maintained or improved. Magic is flat. Let me remind you that we'll have the merger of the company soon. So, once we lose control over Sapiens, it will be different, but Sapiens will be kept as associates and a single line in the P&L and Matrix and Magic will be recognized as a single group. And we think -- we hope that after the merger, there will be some operating benefits in Magic for Magic. And Michpal has had its debut on the stock exchange in Tel Aviv. And I think that this group can be expected to grow because now it's growing at a nice rate, its effectiveness is growing, and it's going to continue. Now the Asseco International segment, Central European market, Marek has mentioned the fact that the ERP group is the driver of growth here. But the core area is also a good contributor of Slovakia and Czechia. This is a huge part of the Central European market. Now South Eastern European market, an organic improvement in banking. Payment would have been better, but a write-off has been recognized here for India. Now the Western European market, as we have already told you, the result is very decent Asseco PSP. Now let's move on. This is cash generated LTM. We are very happy here. Asseco Poland, it's as you can see here, an international 107 -- 114%, Asseco Poland and Formula 104%. Now liquidity situation has been stable. Still, it's negative in 2 segments. But at the same time, I'd like to point out that the debt in 2 segments went down. For Asseco Poland, we are still paying back in accordance to the schedule, a credit facility, investment credit facility. When it comes to Formula Systems, we are also paying back. So the debt is ever smaller. The cost of debt servicing are also expected to go down considerably. For some time now, we've been presenting to you also proportional recognition. So informing you what our results would be according to the ownership logic if the percentage rates were consolidated in an effective way without -- so non-IFRS results. This is proportional revenues for 2024. The foreign exchange impact is here not as considerable. It's minus PLN 40 million and at the same time, PLN 560 million, that's the positive impact of organic results. PLN 67 million was generated by acquisitions. And looking at the operating profit, minus PLN 4 million, that's foreign exchange rates, minus PLN 14 million one-offs, PLN 155 million organic results and minus 2 acquisitions. And again, proportional recognition of the revenues and operating profit. Here, the dynamics changes and efficiency are higher, where the percentage rate is higher, the results show better dynamics and better profitability. So look at proprietary software and services. Here, we generated plus 12% and EBITDA profitability 1.1%. So you can see here in quarter 3, an improvement in terms of profitability. And the same applies to operating profit in an accumulative manner. So accrually, 0.5 percentage points. That's the profitability of the operating profit. Now let's have a look at the balance sheet in the proportional methodology. As you can see, the debt is not as consolidated in formula. And for Asseco Poland, it's close to 100%. So it seems we are on the safe side. Still, we are looking at the working capital in more detail to make sure that we use it as efficiently as possible. Now cash flows, proportional recognition. Cash generated, again, a very satisfying picture, much better than in the consolidated recognition, 112%. That's the cash conversion ratio for Asseco Group. Asseco Poland segment accounts for 115%. Let's have a look at the backlog, order backlog. At the proprietary software and services level, we can see the backlog amounts to over PLN 12 billion in fixed foreign exchange rates, 13% is the growth at the level of the group, plus 14% is the segment Asseco Poland. And the backlog has been growing mainly for the parent company, but it's also the case for Asseco Systems, Asseco International, again, 14% growth. In all of the companies mentioned here, we see great growth rates. Formula Systems, it's plus 12% -- and that's it for me, actually.
Artur Wiza: Thank you very much, Karolina. And thank you very much, Marek, for presenting our highlights and the most important events. And now we will move on to the questions that you've kindly sent to us. We will hope to answer them all. The first one is how you're going to manage the money that you get from Sapiens transaction and the other one that was mentioned, which of the settlement will be made next year? Higher dividends?
Karolina Rzonca-Bajorek: For the first part, TSS, so we already have the money. It actually already came to us. And so now we are trying to allocate the money in such a way that we have a good deposit rate in the interim perspective. But ultimately, we want the money to be allocated to pay out dividends in 2 batches probably. Of course, it's the shareholders' meeting that will take the ultimate decision, but that's our original intention. So the money will be translated into dividends. Now when it comes to the other transaction, which is the sales of Sapiens, probably the deal will be made at the beginning of December -- sorry, at the end of December or beginning of January. And then the money will be settled -- the money will be paid to Formula Group. And there, a decision will be taken how it will be managed and allocated, whether it will be used for new acquisitions or some alternative forms of capital acquisition or dividends. At this point, we don't know this yet. We don't know how the money will be allocated. That remains to be seen. But as soon as we know, we will let you know.
Artur Wiza: Thank you very much. Next question, how much money Asseco will get from the sales of Sapiens?
Karolina Rzonca-Bajorek: Actually, it's a question that I've been trying to explain already in the previous one. So the recognition of result is a different story than the ultimate money. The ultimate value will be allocated between shareholders in the form of a dividend. So as I said, once the decision is taken, we will let you know. And again, the loss of control of Sapiens is something that will also impact our results, and we will tell you what money we are exactly talking about as soon as this is calculated. However, let's remember that it will be driven. Well, we know the worth of the transaction. But remember about the costs that have to be covered and as well as net assets. So these calculations will also be driven by taxes, by foreign exchange rates. So the result will be positive, but its ultimate value is -- remains to be checked, to be calculated.
Artur Wiza: Thank you very much. What are expectations when it comes to EF or electronic invoice implementation in the next quarter?
Karolina Rzonca-Bajorek: Well, it's hard to expect. It's hard to estimate that at this point. CEF is part of a bigger project. For sure, it's something that should increase the demand for our products and services. So I guess in all of the sectors where the implementation of CEF will be an obligation, we will definitely see the result. I guess the most natural area would be companies that supply ERP and ERP-related solutions, such as Asseco Business Solutions. But I can't give you any exact rates at this point.
Artur Wiza: Now improved profitability of the parent company, what is it driven by? And is it driven by AI? And I guess it means artificial intelligence and not Asseco International, right?
Karolina Rzonca-Bajorek: Well, yes, indeed, improved profitability in the parent company is quite significant. I agree. And the reason behind it is the following. We have a lot on our plate right now. We are trying to use all the opportunities. And I guess, in none of the segments, we have any free capacities because we are really using our capacities to the full. So I think this effect is what we actually already announced in 2023. Back then, we told you that we feel a lot of pressure on the payroll and on vacancies. Well, these problems are no longer the case that much. We still have some bottlenecks when it comes to people allocation. Of course, it's easier when you have an order backlog for the current year and for the next one, and it's easier to manage and to plan your people in the optimum way. That's why the efficiency improved. So we made some extraordinary effort in many areas. I'd like to say that very clearly. Another reason is a very special situation, which is in all operating segments, we've seen a very good year. 2025 has been a very positive year. None of our businesses incurred any losses. I think it's a long-term effect of the fact that we've been fighting to diversify our revenue streams and of mastering the planning. To some extent, it's probably the result of our optimization efforts and using different technologies, including AI, obviously. So these technologies have been helping us to ensure even better quality of the software to our clients. AI is actually at different stages of production. So the products that we offer also include the AI component. Still, at this point, we can't give you any exact rate to express the actual impact of AI on improved efficiency or productivity. Think about AI in testing automation. In our case, software, thanks to AI, is tested much better. So then also at the service point, we have fewer tickets. So the servicing guys can be more efficient. However, it's really hard to capture that effect in numbers.
Artur Wiza: Right. I think that would be actually great to introduce the AI team so that they can -- at least the leader, maybe not the whole team, so that they can tell us more about our AI solutions that we've implemented so far. Next question, could you please give us an additional comment on Asseco International, it's [indiscernible] company that was added to the group recently. And what about the write-off for NextBank?
Karolina Rzonca-Bajorek: Marek, would you like to take this one?
Marek Panek: Ladies first.
Karolina Rzonca-Bajorek: Right. So let me tackle first our activity in India and Dubai, Asseco Southeastern Europe. The acquisition of the company was written off in this year's results. So looking at the balance sheet, you can see the impact in a couple of items. But efficiently -- effectively, if you look at the result -- net result, it's not such a huge impact. It's PLN 3.5 million up to PLN 4 million. That's the impact on Asseco Group's results. Now this is driven by the following fact. Back then, when we bought the company, a big part of the payment for the controlling package was a conditional obligation. And that obligation was meant to be paid only when some results would be delivered in the future. When that decision was taken, by the management, we came to the conclusion that, that acquisition is not reasonable. So it would be fair to make a write-off. So the write-off is about such assets as the goodwill and some liabilities. On the other hand, there was room to write off that conditional obligation or liability. So the net result is not as impressive in the end. As to the second part of the question, NextBank, we acquired that group some years ago in 2018, right?
Marek Panek: Yes.
Karolina Rzonca-Bajorek: And at that time, it was kind of an attempt to try out our operation in a different sector. We invested in a start-up actually. So we patiently waited for a breakthrough, but it never happened. Therefore, we decided that at the point of an individual report or statement, we would write off these investments and the loans that were granted to the company. And then in the consolidated report or statement, we wrote off also the goodwill.
Marek Panek: But don't think that there is anything wrong happening in this company because this is not the case. The company is operating. And let me remind you that this is a company registered in Czech, in Poland with a brand with a subsidiary in Philippines and it manufactures a cloud solution subscription based. And over the years, there have been around 50 implementations. So there is quite a big group of client banks that rely on the software. At a certain point, there was an issue because the company started working together with huge banks. And some -- one of the banks made huge promises about IT projects. So NextBank established a huge team to implement the project. But at the end of the day, the budget got cut off heavily and the demand was much poor, hence, the loss because of this part of the activity. But we -- we still believe that the company will pick up and we'll get new customers. Now the subscription-based revenue covers the cost of activity.
Karolina Rzonca-Bajorek: So I think that the cash flow will be positive next year. Yes, but we will see the positives next year. So the scale of the write-off, it's PLN 25 million in the individual and PLN 14 million in the consolidated statement.
Artur Wiza: Next question. Can we expect an additional dividend because of the sale of shares to TSS this year?
Karolina Rzonca-Bajorek: And this was Santa Claus asking, we are waiting. We have until the 2nd of December. this would have to be a down payment, and we are still waiting for the change of the Articles of Association to be registered officially. This has been already decided in the general meeting, but this needs to be processed. And I think that around the usual dividend day, we will break the news to you, but no decisions have been made yet. So this also depends on our shareholders. It's up to them. But today, it's too early to say because the Articles of Association haven't been amended officially yet.
Artur Wiza: What do you think about the forecast for Asseco Poland, the outlook in 2026?
Karolina Rzonca-Bajorek: So if you have a look at the results in 2025, they are quite or even very positive, and they make us optimistic. And a huge part of current projects will continue next year. Now we are doing the budgeting. Nothing makes us worry about the Polish segment and next year to the contrary because if you have a look at the backlog, contracts are growing at a very decent rate. So if we succeed in improving the efficiency, the prospects are very good. But it doesn't mean I'm promising you anything right now that I'm promising you the same results because the results are really spectacular in 2025. And partially, this is because of the momentum. But speaking about the outlook, -- now we have to focus on performing the contracts and improving the effectiveness, the efficiency and not on gaining new contracts that much.
Artur Wiza: Thank you. There is one question left. Could you please share the recording of this presentation as soon as possible on the website? Yes, certainly, we'll do it soon in Polish and English. Thank you. Thank you for all the questions. And please stay in touch with our Investor Relations department and follow us on the during the conferences we are going to attend. We will be attending the conference with [indiscernible] in Prague this week. We will be speaking about our results over there as well. And I would like to invite you for the conference on the results from 2025 next year. And Adam Goral will also attend, he's sending his best wishes right now. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]